Operator: Good morning. Thank you for standing by and welcome to Booz Allen Hamilton's Earnings Call covering Third Quarter Results for Fiscal 2019. At this time, all lines are in a listen-only mode, later, there will be an opportunity for questions. I'd now like to turn the call over to Mr. Nick Veasey.
Nick Veasey: Thank you. Good morning and thank you for joining us for Booz Allen's third quarter fiscal 2019 earnings announcement. We hope you've had an opportunity to read the press release that we issued earlier this morning. We've also provided presentation slides on our website and are now on slide one. I'm Nick Veasey, Director of Investor Relations, and with me to talk about our business and financial results are Horacio Rozanski, our President and Chief Executive Officer; and Lloyd Howell, Executive Vice President and Chief Financial Officer. As shown on the disclaimer on slide two, please keep in mind that some of the items we will discuss this morning will include statements that may be considered forward-looking, and therefore are subject to known and unknown risks and uncertainties, which may cause our actual results in future periods to differ materially from forecasted results. Those risks and uncertainties include, among other things, general economic conditions, the availability of government funding for our company's services and other factors discussed in today's earnings release and set forth under the forward-looking statements disclaimer included in our third quarter fiscal 2019 earnings release and in our SEC filings. We caution you not to place undue reliance on any forward-looking statements that we may make today and remind you that we assume no obligation to update or revise the information discussed on this call. During today's call, we will also discuss some non-GAAP financial measures and other metrics, which we believe provide useful information for investors. We include an explanation of adjustments and other reconciliations of our non-GAAP measures to most comparable GAAP measures in our third quarter fiscal 2019 slides. It is now my pleasure to turn the call over to our CEO, Horacio Rozanski. And we are now on slide four.
Horacio Rozanski: Thanks, Nick, and good morning, everyone. Lloyd and I have excellent results to share with you this morning. The numbers show that the people of Booz Allen continue to deliver strong disciplined operational performance and outstanding solutions to our clients. We are comfortably ahead of where we expected to be at this point in the year. And as a result, we are able to take two very positive steps. Once again we are raising our earnings guidance by $0.10 for FY 2019. And secondly, we are announcing a larger increase in our quarterly dividend any recent years. Our performance through the first three quarters, demonstrates the strength of the market position we have built under our Vision 2020 growth strategy. It is this differentiated position that forms the basis for our investment thesis and gives us confidence that we will continue to outperform our competitors. As I have said in the past, the payoff period for our strategy is here and we are seeing the very real value it's creating for the firm, our talent, our investors and the critical missions we serve. With this in mind, today Lloyd and I will take you through our third quarter results, put them in context of our investment thesis, and share how we're thinking about the remainder of the fiscal year. Going back to last spring, when we first gave you the FY 2019 guidance and outlined our investment thesis, you'll recall that we entered the year with a lot of confidence about Booz Allen's future growth and it carries through to today. We said that we expected our unique market position to drive substantial increases in earnings not only this year, but over a three-year horizon. The investment thesis pointed to significant ADEPS growth, resulting from a combination of organic revenue growth, margin expansion and capital deployment. And we highlighted optional value, as the potential for additional growth over the long-term resulting from the new business lines and solutions we're developing. Approaching the end of FY 2019, we're in an excellent position to deliver to our investors, what we said we would. Across nearly every metric, our business is performing exceptionally well. We carried almost all of the positive trends from the first half of FY 2019 through the third quarter. Total revenue. Revenue excluding billable expenses, headcount growth and profitability were all very strong. And while book-to-bill came in lighter than in prior third quarters, backlog remains at near record levels. And we believe it provides us with ample demand, to meet our growth objectives. One recurring area for improvement is cash. We continue to work on it and our recent track record of execution across the business gives us confident that we'll get it right. We remain on track to deploy $350 million in capital or more as targeted this year. All credits for this performance goes to the people of this firm, my colleagues. They're out there every day, identifying opportunities and helping clients solve problems and advance missions through innovation and technology adoption. It is their commitment to the firm and our clients that is at the root of our unique position in this market. Shifting now to how we're thinking about the rest of the year. Let me address the partial government shutdown. Needless to say, we're pleased that Congress and the White House agreed to fund the effective federal agencies at least temporarily, and we're hopeful that they will come to a long-term agreement. The 35-day lapse in funding, demonstrated again the real hardship to people and disruption to missions that results to an agencies cannot operate as they normally do. Turning to the impact on Booz Allen's financial performance, it's important to note that the vast majority of our business was not affected, because defense, intelligence, health veterans, energy, labor and other agencies remained open. The effect on our third quarter numbers was negligible, because the shutdown hit only the last few days of the quarter and it was during the holidays. That said we did feel the effects in January, when several hundred of our people were unable to execute against contracts. Those who could not do client work took training, did bit on proposal work and other activities valuable to our business. This is how we've handled previous shutdowns in order to minimize the financial impact on our people and ensure they're available to return to their clients as quickly as possible. This approach is consistent with our culture. And we believe an important differentiator in the competitive market for highly-skilled talent. We estimate the impact of the shutdown to be between $0. 02 and $0.03 at ADEPS line and that range is baked into our updated guidance for the full fiscal year. I want to emphasize that, it is no accident. We're in a position to raise guidance and increase our dividend after managing the challenges of a shutdown. This is true, because our Vision 2020 strategy has bolstered our differentiation, built our technical capacity, and importantly has moved us towards more essential missions. It has not only positioned us to outperform when the market is stable and favorable, but also has given us the resiliency we needed to maintain momentum during times of temporary market disruption. Also our unique operating model has a single P&L and our board portfolio of business creates unity and agility. It provides opportunities for our people to move from one part of our firm to another as needed or simply when they want to apply their skills to a new mission or problem set. Finally, and most importantly, I would like to point to the quality of our people. We tackled the challenges of the shutdown as we do all things as one team. And when Booz Allen decides to solve a problem, we have a track record of success. Earlier this week, we announced internally the winners of our Annual Booz Allen Excellence Awards. This program recognizes the most outstanding work being done across our business. The awards demonstrate the impressive talents of our people as well as the breadth of our client base and capabilities. The finalists we recognized are applying technology to transform organizations and create significant mission value, from speeding the approval for much-needed generic drugs, to moving a critical DoD collaboration platform to the commercial cloud, to improving intelligence analysis and production in support of our war fighters. They are great examples of how Booz Allen delivers solutions at the intersection of consulting, technology, and mission, and a great reminder that our people and the valuable work that they do are at the core of our strength as an institution. Booz Allen is forging ahead with unity, agility, resilience, and mission-focus. We're executing on contracts, hiring against more than 1,300 open requisitions and going after opportunities aggressively. We're keeping our foot on the gas as we close out FY 2019 and nothing makes that clearer than our increased earnings expectations for the full fiscal year. With that, Lloyd, over to you, for the full financial picture.
Lloyd Howell: Thanks Horacio and good morning everyone. Today I'll cover our third quarter performance. But before I begin, I'd like to say how proud I'm of the results our people have achieved. Three quarters out of the way through our fiscal year, we're ahead of where we expected to be and remained poised to meet or exceed the financial goals we announced at our Investor Day. ADEPS growth is at the core of our investment thesis and I'm excited that we're again raising our full year earnings guidance. Given our strong start to the year, we're also narrowing our revenue guidance. We believe Booz Allen's strategy and market position will continue to support the successful execution of our clients' core mission, which is the foundation of our ability to consistently deliver strong shareholder returns. To reiterate what Horacio said earlier, the government shutdown had a negligible impact on our third quarter given that it fell during the holidays. But we do anticipate that it will have a small impact on Q4 profitability and revenue and potentially a more meaningful impact on near-term cash collections. I too could not be more proud of how our leadership and colleagues at all levels reacted to the shutdown. We worked hard to minimize, to the extent possible, shutdowns impact on our clients, their mission, our performance, and our people. In my remarks this morning, I will take you through the third quarter numbers and describe how both our excellent performance through the first three quarters and the 35-day lapse in federal funding have affected our guidance for the full year. Please turn to slide three. Starting at the top line, revenue and revenue excluding billable expenses grew by 13.1% and 12.2%, respectively compared to the third quarter last year. The increases were due to continued strength in client demand, improved contract performance and increase in headcount and an extra workday in the quarter. Our growth this year has been well diversified to strengthen each of our core markets. Billable expenses were 30.7% of revenue for the quarter consistent with our expectations for this fiscal year. Our focus, however, remains on driving growth and revenue excluding billable expenses. The leading indicators there are strong with a robust backlog and the necessary headcount growth to meet our full year objectives. We remain very much in a growth posture and intend to carry momentum through the fourth quarter into next fiscal year. On slide five, you will see that book-to-bill for the quarter was 0.45 times and our trailing 12- month figure is at 1.58 times. As a reminder, the value of contracts under protest is not in our backlog. And, therefore, this number does not include $1 billion award from the VA currently under protest. Our trailing 12 months book-to-bill remained strong and supports our growth posture. Total backlog as of December 31st was $20.5 billion, 23% higher than the prior year. Funded backlog at $3.5 billion also represents a 23% increase. Unfunded backlog at $4.5 billion is up 7% and priced options increased 30% to $12.4 billion. Headcount as of the end of the third quarter was 25,803, up by 1,056 year-over-year and by 459 sequentially. Hiring during the quarter was strong. And we continue to aggressively hire to maximize our growth potential, putting us on track to meet our targeted 5% growth in headcount for the full year. Moving to the bottom line. Adjusted EBITDA for the third quarter was $180 million, representing a 24% increase compared to last year. Adjusted EBITDA margin on revenue for the quarter was 10.8%. This margin performance exceeded our expectations. And as a result, we are adjusting our full year forecast. Our third quarter adjusted EBITDA margin on revenue was driven by some of the same factors as in the second quarter, most notably strong contract performance. An additional factor contributing to our robust profit figure is an $11 million benefit from an amendment and associated revaluation of our long-term disability plan. Third quarter net income at $132 million was up 76% and adjusted net income grew 37% to $103 million for the quarter. Both net income and adjusted net income increased primarily due to our revenue growth and improved margins. Net income also benefited from a lower tax rate driven primarily from the re-measurement of our deferred taxes related to the 2017 tax law, including the approved tax accounting method change that occurred in October. I mentioned this accounting method change in our second quarter earnings call but note that we exclude the impact of the re-measurement from our adjusted net income in ADEPS results. Those factors as well as a lower diluted share count resulting from our ongoing share repurchase efforts drove a $0.21 increase in third quarter adjusted diluted earnings per share to $0.72. All told, our weighted average diluted shares outstanding declined 3.5 million shares compared to one year ago. Turning to the balance sheet. I'm not pleased that operating cash for the quarter came in at $9 million. We'll continue to focus on improving operating cash collection and DSOs. There were several factors affecting cash and DSOs in the third quarter including continued delays at the DFAS payment offices, an issue being felt across the industry and timing of payment on a few contracts clustered in our civil business. The government shutdown was not a meaningful driver in our third quarter operating cash declined compared to the prior year period. We do however anticipate that the shutdown will continue to affect the timing of cash collections in the fourth quarter and may push up to $100 million of operating cash into next fiscal year. Given that agencies affected by the shutdown are just getting back up and running, we do not know how quickly they will work through their backlog of invoices and payments. For this reason, we're lowering the bottom of our operating cash expectations for the fiscal year and now anticipate operating cash to be between $360 million and $500 million for the full fiscal year. While cash collections may slide temporarily to the right, it has not and will not affect our capital deployment approach. We have ample balance sheet strength and long-term cash generation potential to meet the objectives for capital deployment we laid out on Investor Day. Capital expenditures for the quarter were $18 million. We continue to expect CapEx spending of up to $100 million for the full year. As we mentioned previously, this year-over-year increase and expected CapEx is growth oriented and supports the evolution of our business. On slide 6, you'll see that during the third quarter, we continue to execute a disciplined efficient capital allocation strategy that aims to deliver both near and long-term shareholder value. We returned $110 million to shareholders through dividends and share repurchases bringing our fiscal year-to-date total to $254 million. As such, our stated fiscal year 2019 goal to deploy $350 million is well within reach. As Horacio mentioned, today we're also announcing an increase in our quarterly dividend. The company is authorized a quarterly dividend of $0.23 per share, payable on February 28 to stockholders, a record on February 14. This increase of $0.04 versus the $0.02 we have announced at this point in recent fiscal years shows that targeting, an approximately 2% dividend yield remains a priority. We're proud of our track record of quarterly dividend growth. Our dividend has increased from $0.10 in 2013 to $0.23 we're announcing today. And we'll strive to continue this trend of above-market dividend growth. Consistent with our prudent approach to the balance sheet management, we continue to intend to draw down the $400 million delayed draw portion of our term loan A by the first quarter of fiscal 2020. To take advantage of its attractive interest rates related to the current environment. This financing will further optimize our capital structure and support our ability to maximize shareholder value through our disciplined and efficient capital allocation strategy. We continue to aim to deploy a total of $1.4 billion or more over the three-year period in our investment thesis, while maintaining an optimal net debt leverage ratio of about three to three and a half times. Finally, let me summarize our guidance for the remainder of the fiscal year. Please turn to slide seven. The excellent performance through the first three quarters gives us confidence that we'll finish the year strong. Today we're narrowing our revenue guidance to the top half of our previous range. We now expect full year revenue growth to be 7% to 8%. This includes an approximately $20 million impact to revenue in January resulting from the government shutdown. As a reminder, our fourth quarter has one fewer work day when compared to the same quarter of last fiscal year, which will affect our Q4 year-over-year growth. We're very pleased with our margin performance throughout the first three quarters. It reflects improved contract performance and strong cost management putting us in a position to raise our expectations for the year. We now expect full year adjusted EBITDA margin on revenue to be between 10% and 10.5%. As Horacio noted, we now expect full year ADEPS to be between $2.65 and $2.75 per share. This guidance is based on $141 million to $144 million weighted average shares outstanding and a tax rate in the range of 24% to 26%. All of our revised guidance include the impact of the shutdown through January and presumes that there are no additional funding lapses in this fiscal year. In closing, I'd reiterate that we're extremely pleased with our third quarter and year-to-date performance. Booz Allen is on a strong path. The entire management team is excited about the remainder of the fiscal year and the momentum we're creating for delivering on the three-year goals detailed our investment thesis. Horacio, back to you.
Horacio Rozanski: Thanks, Lloyd. Before opening the lines for Q&A, I want to take a moment to recognize and congratulate our colleague Tony Mitchell. Next weekend Tony who's a 30-year veteran of Booz Allen, an Executive Vice President and a leader of our Justice Homeland Security and Transportation business will be honored as Black Engineer of the Year. He is richly deserving of this award. As an extraordinary leader and mentor and a model for young women and men everywhere who aspire to be tomorrow's leaders in technology. I'm so proud to call him my colleague and my friend. What makes this achievement especially noteworthy for our firm is that Tony is only the latest Booz Allen Executive to be so honored by the U.S. Black Engineer and Information Technology Magazine. Our own Lloyd Howell is a previous Black Engineer of the Year; as our Board member, Art Johnson; and Former Executive Vice President, Reggie Van Lee; Dennis Via, an EVP and retired Four-Star Army General who some of you met at Investor Day received the BEYA Lifetime Achievement Award in 2013. Booz Allen works hard to attract and retain diverse talent at the executive level and throughout the ranks. We're proud to be named recently by Forbes as one of America's Top Employers for Diversity. We believe varied backgrounds on perspectives make us stronger as a firm and keep us true to our purpose and values. So, it is indeed gratifying to claim five Black Engineer of the Year honorees as part of the Booz Allen family. Congratulations to Tony and to all of this year's award winners. Okay, Nick, let's open the line for questions.
Nick Veasey: Thanks, Horacio. Please open the lines, Brian.
Operator: Thank you, sir. My pleasure. [Operator Instructions] And our first question will come from the line of Carter Copeland from Melius Research. Your line is now open.
Carter Copeland: Good morning, gentlemen and another great set of results. Congrats.
Lloyd Howell: Thank you.
Horacio Rozanski: Thanks, Carter.
Carter Copeland: Just a couple of quick ones. One, interested in the conclusion of the shutdown what sort of behavior and activity you saw if it was sort of a return to normal? Or not just wondered if you can us some color there? And then secondly, Horacio I wanted to review my comment on the hiring environment. Obviously, situation there in Northern Virginia got a little bit more complex recently, or is intended to and clearly the job markets tight but you guys have a lot of backlog to execute on. I just wanted to give us kind of an update on how you see that evolving here?
Horacio Rozanski: Sure. Hopefully, I remember the second question by the time, I’m then answering the first one Carter, but -- on the first question about the shutdown, we are seeing good signs things are recovering to normal at an accelerated pace. I think everybody was very and eager to get back to work. Certainly everybody in the government, they never did Booz Allen. So we're pushing hard on that and we're seeing the results. On the broader question about the hiring market as you saw we've added about 1,000 people throughout the year. That's the net number and more than 400 this quarter alone. So we're – I’m very please with where we are on that. We have to retain that momentum frankly at least through the end of this current fiscal year, because the opportunities there on the demand side and we're completely focused and poised to do that. The overall market is a tight market. Unemployment as you know is low. The types of talent that we're looking for we've been fighting for, for a while. You talked about the changes in Northern Virginia those -- we're monitoring those with interest, but I will tell you we have a vibrant business in Seattle, but we hire there quite affectively. So, I feel good about our ability to compete Booz Allen and to continue do what we need to do.
Carter Copeland: Wonderful. Thanks. I’ll let somebody else ask.
Horacio Rozanski: All right. Thank you.
Operator: Thank you. And our next question will come from the line of Sheila Kahyaoglu with Jefferies. Your line is now open.
Sheila Kahyaoglu: Hi, good morning, guys, and thank you for the time. Just on that last -- Carter's last point in terms of maybe the headcount. Horacio, is there anyway you could talk about the business mix maybe shifting? It just continues to surprise me that you could grow revenues and earnings as quickly as you do with headcount only up mid-single digits. So, is there a mix shift going on in your business maybe where it's more software, less labor content maybe over the prior year or over the last three years you could talk about?
Horacio Rozanski: I would answer this way. I think as you know when you look at our investment thesis the whole notion of option value is to build businesses like that. That is still nascent. That's not affected the results. Right now what's driving the results now and again we had a great quarter. And I love the numbers for this quarter, but when you put them in context of the year, we're talking about 7% to 8% that's the combination of bringing on headcount. It's a combination of the fact that salaries are rising. It's a combination of the fact that we're seeing robustness in the pricing model for our services. And I think a lot of that is driven by change in mix around more technical work, closer to the client's mission and all the things that we've talked about around Vision 2020. So that's sort of how the math works underpinning that is the strength of the business driven by our strategic repositioning over the last five years I believe.
Sheila Kahyaoglu: Okay. Thank you. And then Lloyd, maybe one for you as you think about trying to put in the initiatives to improve working capital maybe can you elaborate on some of those?
Lloyd Howell: Sure. As I said in my prepared remarks, we were not satisfied with where we are. That being said, we really see that the timing event, we made great improvement in our second quarter and that was great to see, but it's not a linear process and we appreciate that. We're confident that we're going to get it right. Business is performing really well as indicated by our Q3 results. We also don't see a change in our capital deployment strategy. We expect to make the $350 million that we committed to and we're on track for our three year goal of $1.4 billion. So again, as I said, we're not pleased with where we are. We got the right – we think the plan in place to get the improvement. We remain close to our clients as well as we're working with the payment – so that's about that what I can say about it.
Sheila Kahyaoglu: Thank you.
Operator: Thank you. And our next question will come from the line of Cai von Rumohr with Cowen. Your line is now open.
Cai von Rumohr: Yes. Thanks so much. Great quarter, guys. Your foreign business, where your commercial foreign was up about 40% in the quarter still small, but a very outsize gain. Can you give us some comment on what's driving that? And it is still is profitable?
Horacio Rozanski: So our global commercial business, the numbers from queue show, we had a very good quarter. If you remember last quarter was a little software. First quarter was great. Overall that business continues on track where it's been growing north of 20% for a while now. And we expect that to continue. The core of that business is our work in cyber security and that we believe we've differentiated proposition. It's clear the market believes that too, and that we’re being rewarded for that. So I'd like to see that business to continue to grow into the strong double digits for a while. As you pointed out Cai, it’s a small business so quarter-to-quarter, one contract moving in one direction or another will drive the quarter's revenue. But the long-term trend is clear, which is very strong double-digit growth that we intend to continue to build.
Cai von Rumohr: Thank you. And then quickly for Lloyd you mentioned $20 million revenue impact from the shutdown in January. Do you expect to catch that up in February and March? And what kind of incremental impact does that have on the P&L if you're looking 2013 I think both CACI and Leidos had decremental margins that were about twice their normal. What would your decremental be?
Lloyd Howell: Yeah. It's hard to say Cai, whether we'll completely make it up. As Horacio mentioned, in his previous response we're off to a good start with the government reopening. We certainly aspire to get back on track as quickly as possible. But the fact that we are changing our guidance to the top half of the previous range, 7% to 8%, to demonstrate our confidence that we've taken that into account. In terms of margin impact, we raised our range to 10% to 10.5% for the year. We see probably a $0.02 to $0.03 impact from the shutdown. But in terms of where we end up for the year, we're excited about the range and the fact that we've been expanding it. And we think that, given our business model and our closeness that we have with our clients, we'll continue to have a strong year.
Cai von Rumohr: Thank you very much.
Operator: Thank you. And our next question will come from the line of Robert Spingarn with Credit Suisse. Your line is now open.
Robert Spingarn: Hi. Good morning. Horacio, when we look at the 8% revenue growth and we averaged the year so far. Is there a way to parse that into your normal program growth versus market share capture?
Horacio Rozanski: It's not really -- I think the way we think about it, is we look at our growth rate over time against sort of, clearly, the average of our competitors. And we are constantly ahead of them by several points and that in our mind is market share growth. So that's the best I can do. Without the market -- the other thing is, we talk about the market as if it's one thing. What I think is important for me to emphasize, I really do believe that we have carved the market for ourselves at the intersection of mission and technology and consulting, helping clients. I believe that at this point nobody can do what we can in terms of helping clients who want to transform their missions through technology. And a lot of the growth that we are seeing and especially, you've seen some of the large awards that we've talked about in the last few calls, they really relate to that, whether it's the move to the cloud, whether it is improving cyber security across the entire civil domain, whether it is making significant operation scale investments on AI. Those are the types of things that three years ago weren’t even on the radar and now are out there and we're winning more than our fair share of that, driven by the strength of the capabilities that we bring.
Robert Spingarn: Is there a way to quantify how much of your $20 billion in total backlog is now from these option value opportunities? Or at least how that has trended as a percentage of backlog over time?
Horacio Rozanski: I will say the option value piece is very, very small. That's not where the upside is. Where the upside is, is in the injection of new technology into the portfolio. And I will tell you at this point, most of our conversations with clients are around that. As you know, when a client buys, especially a large procurement, the reason, but I'm not trying to be difficult and it is not that I don't have, I don’t want to give you a number. I can't give you a number, because you take a very large procurement, say $0.5 billion. The reason we want something like that is because, we are able to bring in AI and make AI real to that client. Now inside that $0.5 billion, it's a bundle of services, some of which other people can do and some of which is this. But ideally the core differentiator has been on our ability to make this new technology real. And so that's -- so from that perspective a lot of our portfolio, a lot of our backlog is moving in that direction.
Lloyd Howell: The only thing help in terms of quantifying is we're really excited that 25% of backlog is re-compete work and 76% to new work. And on top of that we're maintaining our win rates at historical high, 63% sort of new work and in the high 80% for re-compete. And I clearly agree with what Horacio said -- value opportunities are exciting, but we're in the early stages of that.
Robert Spingarn: Okay. Thank you both for the color.
Lloyd Howell: Great.
Operator: Thank you. And our next question will come from the line of Krishna Sinha with Vertical Research Partners. Your line is now open.
Krishna Sinha: Hi, thanks. Maybe one for Lloyd. Can you parse -- I know you noted the cash flow is a timing issue that's what you said. But can you just parse that between how much of that $100 million reduction in operating cash flow guidance is from the shutdown delay -- receivables from the shutdown? And how much of it from those -- that sort of specifics civil work timing that you were talking about?
Lloyd Howell: Sure. I mean -- so up to $100 million we think is kind of the headwind that we're experiencing we're very confident that we're going to collect. For example $30 million of it is due to the IRS coming back online in terms of the IRS refund that we mentioned in Q2. So, that $100 million is the headwind. We still maintained as a timing issue for us. We're confident that we're going to get it but that is moving to the right and we're working with our payment offices and our clients, do as best we can, but that's a little bit more of a breakdown to answer your question.
Krishna Sinha: And then your margin was better, tax was better, revenue was better. I mean let's say the timing issue resolves itself this year which is in a bull-case scenario. I mean is there an opportunity for you guys to be above the $500 million just given that the operating drivers have been so much better?
Lloyd Howell: No, we don't see being above the $500 million.
Krishna Sinha: Okay. And then another one on just margin. Margin performance was very good. Looks like a lot of the beat was driven by costs revenue -- cost of revenue reduction. Can you just talk about what costs are being reduced there, is it overhead? Is it direct cost? And then is this margin rate sustainable going forward just given that your long-term guidance what you gave at Investor Day was sort of 10 to 30 bps of margin improvement over the three-year time span? And you seem to be doing well ahead of that. I mean is this reduction in the cost of revenue going forward? Is it sustainable?
Lloyd Howell: The fact that we're increasing the range to 10% to 10.5% for this year gives us a lot of confidence. And as we said really due to strong contract performance as well as we had a long-term visibility improvement as well as some global commercial contracts that were signed. I'm not -- I'm ecstatic that we're ahead of expectations and very pleased with this year's performance. But we're nine months into three-year journey. And at this point, I really don't want to comment on where we will be three years from now. So, at the appropriate time, we'll look at that. We remain confident that we're going to reach the upper end for sure. But right now just bear with us, we'll address that at an appropriate time in the future.
Krishna Sinha: Okay. Thank you.
Operator: Thank you. And the next question will come from Joe DeNardi with Stifel. Your line is now open.
Jon Ladewig: Hey, guys, this is Jon for Joe. Just want to stick with the margin question. so far that -- when you put out your numbers in the -- at the Investor Day, you're looking at FY 2018 EBITDA of 9.5%. Is the current run rate sustainable? Or should we think about that 1% to 3% of that base?
Lloyd Howell: Again for this fiscal year, we think we're going to be between 10% and 10.5%. We're not going to address run rates into the next three years simply because there are a lot of factors that we want to take into account. We want to see where we end up. And consultation with our business leaders will be prepared to respond accordingly. But right now again very pleased with our performance. And in fact we're ahead of expectations for this year. We're very happy about it.
Jon Ladewig: Fair enough. The other aspect that we just wanted to touch on is what's the best way to think about the growth in billable expenses? We've seen it kind of moderate this quarter. Is it going to solve historical trends? Or should we think about it staying at the current level next quarter?
Lloyd Howell: Yeah. I mean, for the year we said, it's going to fall between 29% and 31%. There's a lot of for us challenges and sort of nail it to a specific percent just giving contract awards and the content to make up within those awards. But we feel very confident that for the year we'll end up between 29% and 31%.
Jon Ladewig: All right. Thank you.
Operator: Thank you. And our next question will come from the line of Tim McHugh with William Blair. Your line is now open.
Tim McHugh: Thanks. I might try at the margin question a little bit differently I guess. Just as we think about this year as you came into it, I know you talked about a couple of things in terms of favorable pricing and performance. But I suspect it's mostly productivity and the people, because you knew a lot about pricing coming into the year. Is there something you're doing differently with how you're matching people with engagements, how you're using technology, how you're structuring? And trying to understand if that changes, how we should think about the natural productivity rate that you're capable of…
Lloyd Howell: Yeah, thanks for the question. I mean, we have been on a journey to do all of those factors better and better year-over-year. And as Horacio has said, we're essentially in the payoff period of Vision 2020 and getting our people deployed, meeting our utilization targets, managing our costs as well as one-time things that have come through were hard to anticipate about -- expansion that we're seeing this year. And we expect those fundamentals to continue going forward. So the questions that or those about, beyond this year, we want to continue to see those fundamentals continue, but also ask a question are there any other things that might contribute beyond just solid operational performance. But you're absolutely right, but basics are kicked in and management team deserves all the credit for making sure that our people are deployed and contributing to the clients in the best way.
Horacio Rozanski: Let me build on that. This is one of those years where all the stars are aligning. And we're obviously very pleased with that. There are three things that ultimately will drive this. One is the underlying pricing. And as we've said before and we continue to believe this is a great market, it's a very strong market and we're seeing good pricing for at least our services in this market. The second piece of it is the underlining performance on contracts, and with a very large business with a lot of large contracts, you want them all to go great. And sometimes they all do. And sometimes you're dealing with issues. This year we're dealing with fewer issues than we have in the past and you're seeing that reflected. And the third piece is, when you're bringing on a lot of people is how quickly can you put them on projects, because there's a naturally ramp up time. And again, part of it is the process and part of it is just the nature of how things are working this year. The team has done a fantastic job by getting people billable as close to the hiring point as possible. Obviously, more focused on retaining all three of those well into the future. We want every contract to go perfectly, we want everybody to get billable on day one and we want pricing to continue to be this robust. And that's the piece we can try to control and the piece we're focused on. I am optimistic that a lot of this goodness can translate into the future. But I think it's too early to declare details and certainly numbers around that.
Tim McHugh: Okay. Thank you. That's helpful. Then, Lloyd, just a follow-up, the comment term A loan, just to be clear, as you -- when you draw that down, is that to pay off the term B? Or will you use that for other purposes in terms of capital deployment?
Lloyd Howell: Yes. It's not to pay off the term loan B, it would be for other capital purposes.
Tim McHugh: Okay. Thank you.
Operator: Thank you. And our next question will come from the line of Tobey Sommer with SunTrust. Your line is now open.
Tobey Sommer: Thank you very much. I was wondering if you could comment on the contract that you have protested, was that an existing re-compete? Or was that a new contract? And maybe you could use the opportunity to comment on the protest environment generally. Thanks.
Horacio Rozanski: So there's a lot of that -- we're very excited about being able to turn on that contract, hopefully, after the – what's been prevailing during the process. It's a great contract, it speaks to all the things we're talking about before in terms of bringing cyber security and a number of capabilities at a very high level. So we're waiting. A lot of that work is, not all of it is new. And again, it's an exciting win, not just for financial reasons, but because it's right in the middle of our strategy. The process environment continues to be what it is. We would like to see, frankly, on the part of the entire industry a little more rigor how we can process it and a little more restraint, but it is what it is. I think we're used to it, I think as an industry. I think the government is used to it and they know how to manage it better. And we'll continue to keep on keeping up. But if I can come back, I mean, I think what, at the end of the day, the reason that I'm optimistic, even with everything else that we're talking about is, we have a strategy that works. We have strategy that creates differentiation and shows real results to our clients. I think that allows us to win the work at the rates that Lloyd has been talking about. I think that allows us to overcome process when they come. And I think ultimately that allows us to perform the work in a way that is not just very profitable, but a very successful decline which then keeps on coming back. And I think that's the part of all of this that we can control. That's the part we're focused on. That's the part we’re excited about.
Tobey Sommer: Thank you. Could you share with us your views on what the 2020 budget may hold in store for the industry particularly given the shutdown in CR extended and that's been part of the month? Thanks.
Lloyd Howell: I wish, I was certainly wrong. I will offer the following. First of all, for the balance of this current fiscal year, we're very optimistic and excited about the robustness in the business. We'd like to see an agreement in Congress that goes frankly ideally through the next election not just through the next fiscal year. And I remain optimistic that will take place. Having said that, as we said at the very front of this call the last government shutdown and our ability to do manage through it as successfully as we did and raise our guidance in light of it, I think demonstrates that both our operating model and the quality of our management team is such that, we can handle market disruption better than most. We don’t look forward to it. We're certainly not interested in seeing it. But when it comes, we know what to do, we know how to do it and we know how to succeed in both great markets and more turbulent ones. So we're going continue to focus on what we can control. We're going to continue to drive this business aggressively against investor thesis that we put forward last June. And hopefully, we'll continue to have great conversations on calls like this one about how the business is moving along.
Tobey Sommer: Thank you very much.
Lloyd Howell: Thank you.
Operator: Thank you. And I'm showing no further questions at this time. So now, it's my pleasure to hand the conference back over to Mr. Horacio Rozanski, President and Chief Executive Officer for closing comments and remarks.
Horacio Rozanski: Thank you, Brian and thank you all for your questions. Lloyd and I look forward to a strong finish to the year and we're very proud of all the firm has accomplished. We're working as hard as ever to ensure that Booz Allen's growth is sustainable and that our value to clients and investors is crystal clear. So thank you for taking the time to be with us this morning, and have a great rest of the day.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude our program and we may all disconnect. Everybody have a wonderful day.